Operator: Good morning, ladies and gentlemen, and welcome to the Ferroglobe Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode, later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instruction] I would now like to turn the conference over to your host Mr. Joe Ragan, Chief Financial Officer.
Joe Ragan: Good morning and thank you for joining the Ferroglobe second quarter of calendar year 2016 conference call. I'm going to read a brief statement and then hand the call over to Pedro Larrea. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Ferroglobe's most recent SEC filings and the exhibits to those filings, which are available on our webpage www.ferroglobe.com. In addition, this discussion includes EBITDA, adjusted EBITDA and adjusted diluted earnings per share, which are non-GAAP measures. Reconciliations of these non-GAAP measures may be found in our most recent SEC filings. Now, I will turn the call over to Pedro Larrea, our CEO.
Pedro Larrea: Good morning, everyone, and thank you for joining us on the call today. Before we go into the details of the quarter, which Joe with guide you through, let me provide some context into the current environment and our priorities for the reminder of the year. If we turn to Slide 4, net sales on our proforma basis were $398 million in Q2 2016, down from $423.5 million sequentially, primarily due to a decline of 6.6% in the selling price for silicon metal. This price decline was due to pressure from low price inputs. Challenging price pressures persistent in Q2, but prices have stabilized. During this period, the average selling price for silicon based alloys remained flat and the average selling price for manganese alloys, new to our product mix, increased 2% from the first quarter of 2016. In terms of our sales volumes in tonnes, silicon metal has decreased by 5% quarter-over-quarter but improved market dynamics in the steel industry have allowed silicon alloys to recover by 2% and manganese alloys by strong 11%. If we look at current market environment, we continue to see improvement in some spot sales of silicon metal, which indicates slight relief in pricing pressure and suggests the lack of reliability of index prices. In this product in silicon metal, demand remains strong and aluminum, silicon, some polysilicon industries are showing improvements in their market environment. However, as we said last quarter, we do not expect improved price in silicon metal to begin to recover before late 2016. Meanwhile steel sector is benefiting from a better market situation with stronger demand growth and with steel product prices significantly recovering. This is helping our silicon alloys and manganese alloys business. Demand is improving and market prices for ferrosilicon have improved by 3% to 6% depending on the geographical market since the end of Q1. Market prices for manganese alloys in Europe have improved 10% to 15% in the same period. All this has reflected in our sales with sequential improvements both in price and volume already mentioned. We have increased our exposure to silicon alloys and manganese alloys with our current product offering as of Q2 consisting of 37% silicon metal, 32% silicon alloys and 31% manganese alloys. Also some products with smaller volumes mainly foundry products and for silicon magnesium are still performing quite solidly with increasing volumes and stable prices even when compared to last year. Next slide please. We prudently manage our business and employee a lean operating model, enabling us to reduce our cost base and generate solid cash flow. Even during this year's challenging pricing environment. We have made significant progress in reducing both our cost base and working capital and achieved cost reductions of $11 million versus Q1 2016. Primarily derived from improved energy prices, operational efficiencies, raw materials selection and better purchasing power. We are also pursuing attributable opportunities to optimize our operational footprint. Product and geographic diversification resulted in a reduction in production cost of 22% on a per tonne basis. Comparing current portfolio footprint to legacy globe specialty metals footprint. We continue to drive integration savings, cost reductions and platform optimization. We expect to deliver on our annualized run rate synergies target of $65 million by the end of 2016 with approximately 28 million achieved in the first half of 2016. As evidenced by our continuous cost improvement, the technical teams are working across the company in identifying and implementing specific initiatives in areas such as raw material performance and prices, furnace technologies and leveraging on greater volume for purchasing. We are also reducing SG&A costs in areas such as sales, administration, commercial agents and financial and accounting staff across the company as well as redundant senior management. We have been decisive in our asset utilization as evidenced by our quick actions in Venezuela and Argentina. In Venezuela we took an impairment charge of $58.6 million in order to avoid further losses and we will make further announcements in new course about this facility as to its future. Additionally, we are pleased to announce that after recent negotiation of workable power pricing we are restarting our facility in Argentina next week, which had been idle since February, and which adversely impacted both this and last quarters' results. Both of the above actions will reduce the negative impacts of these operations going forward. Next slide. We have always intensively focused on generating free cash flow and that has not changed. During the quarter, we continued to reduce our working capital and costs and generated free cash flow of $8.6 million. For a total of $43.9 million in the first half of 2016. Working capital was improved during Q2 2016 by a total of $41.2 million, generating $96.5 million in working capital synergies year-to-date. This permanent working capital improvement is the result of a focus on improvement in inventory turns and reduction in account receivables days outstanding on a global basis. It also continues a positive trend in the past 12 months, where we have obtained total working capital reduction of $169.9 million. Well ahead of the original three year projection of $100 million. We will continue to improve working capital through the remainder of 2016. Global inventory management is improving as we optimize the production and delivery platform and improved purchasing power is driving accounts payable optimization. Next slide. With that backdrop in mind, let me comment on what we are doing to drive our business forward and create long term value. Despite a challenging environment we are reducing our net debt maintaining our strong balance sheet and preparing for the future. We continue to explore organic and in-organic opportunities for growth across our business. Our view regarding the pricing environment is consistent with what we said last quarter. Namely that we still expect improvements will not occur before late 2016. For now we are focused on taking proactive disciplined action to generate cash flow. Our focus is on managing costs, optimizing the operational footprint of our business and continue improving working capital. We are also closely reviewing our asset portfolio and considering actionable opportunities to improve our footprint and pursue value enhancing, value creating, non-core asset disposals. We believe we have multiple revenue and cost levers to create value given our product and geographic diversification. With that, let me turn the call over to Joe to go through the financial highlights.
Joe Ragan: Thank you, Pedro. Next slide, go to Slide 9 please. Sales volume was 230,784 metric tonnes for the second quarter, up 2% from the first quarter. And net sales was 398 million, down from 423.5 million in the first quarter. Average selling price across all products was $0.69 per pound, down 6% from $0.74 per pound, including silicon metal, silicon alloys and manganese alloys. We posted a net loss of 42.2 million or $0.25 per share on a fully diluted basis. Excluding the impairment charges, due diligence and transaction costs, the company posted an adjusted net loss of 2.8 million or $0.01 per share on a fully diluted basis. Reported EBITDA loss of 46.6 million for the second quarter was due to the write-off of the company’s Venezuelan assets at the cost of 58.6 million. Excluding the impairment charge for Venezuela, due diligence and transaction costs, Q2 2016 adjusted EBITDA was 17.2 million. Synergy entailment as well as cost control offset the decline in pricing resulting in a 4.3% adjusted EBITDA margin. Working capital continue to decline and generated free cash flow of 8.6 million for the quarter. Next slide, Slide 10. This slide demonstrates the trends we are seeing in terms of quarterly volume shift on a sequential basis. We continue to see stabilization in silicon alloys and sequential growth in manganese alloys. Silicon alloys maintained a constant selling price per pound at $0.65 and manganese alloys increased 2% over the prior quarter due to strength in the foundry and steel industry. We saw a sequential declines in volumes of silicon metal during the quarter, however we are now seeing some improvements particularly in ferrosilicon and silicon alloys. Next slide, Slide 11. As Pedro already mentioned we are focused on reducing costs, improving our working capital and continuing to generate free cash flow. Let me provide some additional details. The company generated $24.3 million in operating cash flow and free cash flow of $8.6 million in the second quarter. We exceeded our working capital synergies target of $100 million, by reducing working capital by $169.9 million over the last 12 months including $96.5 million year-to-date. This includes $41.2 million in working capital improvements in the second quarter. These working capital improvements were driven by prudent management, including significant improvements in both inventory and accounts receivable balances. Working capital discipline has been a strong focus over the last 12 months and will continue to be an area that we will drive for the remainder of 2016. Our balance sheet remains strong with a slight reduction of net debt from $421 million at the end of the first quarter, compared to $413 million at the end of the Q2. Now, I’ll turn the call back to Pedro for closing remarks.
Pedro Larrea: Thanks Joe, Ferroglobe is a newly combined company with a unique strong market position and we are still early in our growth trajectory. We will continue to capitalize on our strong balance sheet and diversified products to drive earnings and deliver value to our shareholders. We believe the current environment is actually a good opportunity for Ferroglobe to further emphasize our focus on generating cash flow and reducing net debt, preparing our Company to fully benefit from the future recovery of our markets. The Board has decided to maintain the quarterly interim dividend of $0.08 per share reflecting our confidence in the underlying strength of the business and the Company’s long-term outlook. With that, let me turn the call back to the operator to take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi, thank you very much. Question would be here is, if you were to pass out maybe the selling prices of GSM or [indiscernible] versus what you acquired. Is there a way maybe you could give us a sense of what the price differential could be or is between those two different pieces of the business? Thanks and I have a follow up.
Joe Ragan: Thank you, Ian. There is always been a difference in pricing between the U.S. market and the European market. So, there is always a differential that has to do with mainly the transport cost between Europe and the U.S. so you would always expect in the market prices in the Europe or the U.S. to be somewhere around $200 per tonne difference. And that pretty much applies to the entire market and to our sales as well.
Ian Zaffino : Right, but on apples-to-apples what was GSM selling for in the U.S. versus what FerroAtlántica was importing into the U.S. what is kind of the effect of price difference between the two, is what I'm trying to get out if I can?
Joe Ragan: Well, when you look at historical data in terms of the imports of FerroAtlántica in to the U.S. and the selling price of GSM in the U.S. prices have traditionally been very similar. Now this year 2016, because of the different marketing strategies at the end of last year it is true that FerroAtlántica prices has been more in line with the index and Globe's legacy contracts were more fixed price and hence higher.
Ian Zaffino : Okay, and then when you talk about the imports coming into the U.S. is this somewhat of a new phenomenon you're seeing and if this is the case when you think about M&A and activity, does it makes sense to get bigger in a space that you don’t necessarily have control over kind of what's happening on the pricing side or other benefits that you could get through consolidation or through expanding your footprint? Thanks.
Pedro Larrea: Well, yes the what has been happening this year in terms of the pricing is relatively unique in some respect. First is just some producers that have been benefitting from macro trends in terms of foreign exchange for instance, that's one. And even like power prices in Brazil. Second is just a transitory situation by which for instance Brazilian producers were not in time for the negotiation season at the end of 2015, and they just came into the market pursuing spot business which is a very slim business and basically just driving undercutting and driving prices down with low price inputs. So that is a very specific dynamic of 2016 that has been going on. In terms of M&A, it's in the DNA of our both companies of FerroAtlantica and Globe and of course Ferroglobe as well and it's driven by three factors. First of all is return, so we are looking for investments that with obvious returns, returns on the investment. Second, of course, we are looking at growth of our business. And fair enough yes we think it does play a role in the consolidation of the industry.
Ian Zaffino : Okay, alright, thank you very much.
Pedro Larrea: Thank you, Ian.
Operator: And next question comes from Paul Forward with Stifel.
Paul Forward: Thanks, good morning. I want to ask about the, I guess first about Venezuela. It’s a significant source of alloys for the company, I just wanted to see with that loss of production have you rotated elsewhere like for example Siltech, has that been restarted to cover the loss of Venezuelan output? And I guess secondarily was Venezuela significant contributor to the quarter before you decided to make the write down?
Pedro Larrea: Well, thank you Paul. The Venezuelan volume, it could be a lot of volume, but it was not making money, so I mean in terms of the return on our capital it doesn’t make a difference to a large extent, not producing further in Venezuela. Now, yes it's also true that we have visibility to reallocate to other production facilities. We are not planning to restart Siltech that is idled. That is idled for good. But we do have still spare capacity in our other South African facility and we do have spare capacity this year even in some of our U.S. plants. So, whatever volume we need to catch up with, we do have capacity to do so.
Paul Forward: Okay, thanks, and I know that -- I mean you've talked about looking at the overall portfolio of assets just wanted to ask is the firm specifically shopping the hydroelectric assets and is that toward the top of the list of potential sales? Either this year or early next year or -- and when you think about asset sales how do you anticipate using the cash, what would be the primary usage?
Pedro Larrea: Well, we are looking at different alternatives of what we consider to be a non-core asset. And we cannot give any additional specific information and whenever we have news to be given we will of course inform you right away. Whatever proceeds we get from disposals or divestitures will -- of course today be first driven to strengthening our balance sheet even further and of course it will also contribute to value creating growth that I was talking about before.
Paul Forward: Okay, just a question for Joe then. You gave us quite a bit of an update on operating synergies and working capital reductions. I want to ask about the tax synergies coming from the merger. I guess specifically now that you kind of have an outlook or 2017 is coming closer, what do you anticipate the tax rate in -- let’s imagine in an improving environment in 2017, either pricing or volumes. What kind of tax rate could we anticipate for going forward for the company, sound constituted.
Joe Ragan: Paul, the treasury regulations are in flux at the moment. So there is some new proposed treasury regulations that would impact our rate. So we have looked at alternatives and we’re looking at likely having that rate being in the mid-20s on a go forward basis.
Paul Forward: Okay. I’ll get back in the queue. Thanks very much.
Pedro Larrea: Thank you.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would like to turn the call back over to Mr. Larrea.
Pedro Larrea: Well, thank you very much all of you for attending today and have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may disconnect.